Olivier Bohuon: Well, good morning, everyone, and welcome to our Full Year Result Presentation. We'll start by covering the highlight of full year and give you an update on the delivery of our strategy. Then I will give you details on our Q4 revenue before handing over to Julie to take you through the numbers, and I will conclude with a summary. As you know, we'll take the questions at the end. I also would like to welcome our Chairman, Roberto Quarta today in the audience. Roberto, good morning. As we said in our guidance for 2015, we have accelerated our sales growth, improved the trading margin and delivered an uplift in adjusted earnings. The underlying revenue growth of 4% for full year is twice the rate which is in 2014. Behind these underlying number is a better performance for many of our global franchise and geographies. We have successfully turned around Advanced Wound Care, particularly in the U.S. and delivered 8% growth for the year. Our Knees franchise has driven strong Recon growth, and Sports Medicine Joint Repair goes from strength to strength. Geographically, the emerging market have grown double digit despite the slowdown in China. In addition, in 2015, we announced five bolt-on acquisitions. Most recently, we acquired Blue Bell Technologies, giving us a presence in the fast-growing area of robotic assisted surgery. Trade profit was $1.1 billion, giving a trading margin of 23.7%, an improvement of 80 basis points over last year. And Julie will highlight our expense and tax optimization programs, leverage our revenue growth to deliver EPS growth of 2% which will have been 9% at constant currency. Today, we also announced a final dividend of $0.19 giving a full-year dividend of $0.308 representing a 4% growth. For our UK shareholders, at current exchange rates, this translates in £0.21 per share, representing 10% growth. I will now turn to review progress on our strategy. We set out our five priorities in 2011. In 2015, we have continued to deliver against these. Our actions and our increased commercial focus in the established market improved growth from flat in 2014 to 3% this year. As I mentioned, the U.S. stands out. Also, as a server challenging years, it is pleasing to see Europe delivering three consecutive quarters of positive growth. In the emerging markets, we have continued to grow and reinforce our platform. During 2015, we acquired our distributor in Colombia and Russia. And we expanded our meatier portfolio. Despite the greater macro concerns in emerging markets, I am convinced of the long-term prospect of Smith & Nephew in this area. Regarding innovation, we have a great portfolio and many of the products driving growth today are system that will deliver growth for many years to come and I will come back to our innovation pipeline in a following slide. Simplifying the business results in efficiency savings and greater agility. Our group optimization plan is delivering the expected benefits ahead of schedule and Julie will talk more about these. From a commercial organization point of view, we are extending our single managing director model to the U.S. as we have successfully done in all other countries. Operationally, we have established global business service unit which will provide an increasing number of day-to-day transactional services in an efficient and cost-effective way. We had an active year in M&A with five bolt-on deals. We have a high bar when assessing the strategic and financial rationale for an acquisition. This ensures our acquisition provide clear benefits to the company and to our shareholders. In a couple of slide, I would provide a review of our two largest acquisitions. Firstly, turning to our corporate structure in more details which enables the effective implementation of the strategy. As shown in this slide, when I joined Smith & Nephew in 2011, we have three vertical stand-alone divisions, 10 individual leaders, systems, and functions. This was inefficient and did not allow us to focus on our resources in a coherent and tactful way. Over the last few years, we have radically changed the structure which has contributed to our improving performance. From the start of 2016, we have further refined the organization as set out on the table - in slide. We now have a single customer focus organization led by a chief commercial officer, who is charged with driving commercial excellence to deliver improved renewed performance. Mike Frazzette, who many of you know is here today and takes that role. So reporting to Mike would be your three regional presidents. The structure focuses the organization. So, Mike, you're here. I expect to see better product launches, more efficient marketing, more market excess, more global marketing push, and I'm sure we'll do it. At the same time, we have created single global R&D function to better allocate resources. With increased focus, we intend to accelerate the development of the more disruptive product and services that increasingly defines Smith & Nephew and will help drive success in the future. There's no doubt that the changes we have made since 2011 have greatly improved our execution. And I feel confident that this new structure will enable us to push our performance on a game. Following the established and emerging market, we now move to our innovation pillar. Throughout its history, Smith & Nephew has been associated with spinal technology and brand. And the top half of this slide shows you some of the leading brands that are driving growth today. We have a leading knee, hip and shoulder portfolio in Sports Medicine joint repair. The JOURNEY II family is pushing up our growth in Knee and will expand the range. And our unique PICO product is shifting the negative pressure with therapy market towards these possible solutions. The lower part of the slide gives you a glimpse into the future. I will just highlight a few products, and if you visit us at the upcoming AA U.S. Meeting, you will have more opportunities to learn. In Sports Medicine, WEREWOLF is a major step for us for enhancing the clinical performance of our market-leading COBLATION technology. Our Syncera model for Recon has generated strong interest among customers. This 3D printing is allowing us to introduce advanced clinical design and we are first applying that with our REDAPT hip revision system. And in Wound, as highlighted at our Capital Markets Day, our longer-term vision of owning the disease means you will see us focusing more on providing solutions and not just stand-alone products. We also focus on disruptive innovation with our mid-tier offering for the emerging markets which stands all three segments of this slide. And I remain convinced that disruptive technologies will bring value to our customers, patients, and payers, are essential to deliver sales and earnings growth in the long term and I'm committed to investing behind this. So turning now to M&A, we make acquisition to reinforce our long-term position, and accelerate growth. It is clear that we are delivering. If you remember back to when we announced the acquisition of HealthPoint in 2012, we promised mid-teen sales growth for several years, and return on capital employed in years three greater than our cost of capital. We have delivered on both targets as compound and group sales growth exceeding 20%, and return on capital employed in years three exceeding onward. ArthroCare is more recent, but equally promising. The integration was completed exactly on time. Almost all the cost synergies have come through ahead of plan, and the team is confident in delivering the revenue synergies by 2017. I'm very encouraged by the strong performance of joint repair in the U.S. demonstrating the strength of our combined business and validating our expectation of strong revenue synergies. This was specifically in the fourth quarter of 2015, which I now want to focus on. So, as usual, this slide, capturing our underlying growth. On the left-hand side, geographically, and on the right, by product franchise. We delivered 5% underlying revenue growth this quarter. In the U.S., we had mix in the quarter driving revenue up 9%, the best quarter for several years, as much franchisees performed strongly. In the other established markets, sales increased by 2%, as our actions have successfully stabilized our business in Europe. Emerging markets grew by 2%. As we have said for the last two quarters, China has been a more challenging environment, mainly in Sports Medicine, in Trauma, and in Wound. Excluding China, growth in the emerging market would have been 15%. I will now turn to look at each franchise in more details. Sports Medicine Joint Repair had a strong quarter growing at 9%. The strengths of the U.S. franchise continue with 17% growth in Q4. We are clearly seeing the benefit of the acquisition of ArthroCare, among all those things it reinforce our position in shoulder and the combined sales force and product portfolio are delivering great results. Enabling Technologies grew at 3% within which COBLATION technology continue to grow strongly. Our Trauma & Extremities revenue was flat partly reflecting the slowdown in the Chinese business. Our Other Surgical Businesses delivered a combine underlying growth rate of 13%. This is primarily our ENT and GYN business. ENT continues to improve following the change we made with the business after we're quite as part of the ArthroCare deal. Globally, our Recon Implant revenue was up 4%. Global Knee growth of 6% was driven by continued strong uptick of JOURNEY II, our kinematic knee. We continue to train new surgeons and our plan to expand the JOURNEY II family of product and publish for the clinical data. Hence, we expect JOURNEY will deliver many more quarters of growth. Global Hips grew at 1% with BHR reducing growth by that 1 percentage point this quarter. We've acquired the ZUK uni knee in the U.S. at the end of June. Sales on track ahead of our expectations, and ZUK has given us access to new surgeons. Many of whom have also started using other products in our range. Coupled with the NAVIO system from Blue Belt Technologies, I see even more opportunities for this small bolt-on to deliver good value. Speaking of which, Blue Belt is off to a very good start. We completed the acquisition in our entry to the robotics-assisted surgery at the beginning of January 2016. Advanced Wound Management and Advanced Wound Care grew revenue by 4%. We deliver strong growth in the U.S. and Europe led by our ALLEVYN Life brand. The action we took in late 2014 and early 2015 to turn around performance are clearly bearing fruits, and we expect improved results will continue. In Advanced Wound Bioactives, we grew up 16% and high single digit growth for the full year as guided. The good solid dynamic in the quarter was partially offset by the performance of our skin substitute products, OASIS, which faces reimbursement headwinds. Advanced Wound Devices grew 14%, continue to display a strong underlying trend of PICO. We see customers and payers increasingly organizing the tremendous value which PICO brings to patients. In the U.S., the advantages of this possible negative pressure have been recognized, and the reimbursement environment is to set to improve in 2016 and again in 2017. I will now hand over to Julie.
Julie Brown: Thank you, Olivier, and good morning, ladies and gentlemen. And we'll start with the financial highlights for the full year. Revenues were just over $4.6 billion with growth at constant exchange rates at 8%, and underlying growth of 4%. Trading profit grew ahead of this with 10% at constant exchange rates, and 5% underlying growth. This resulted in a trading margin of 23.7%, an 80-basis-point improvement over last year. EPSA was $0.851, reported growth of 2%, and 9% at constant exchange rates. And completing the picture, trading cash flow was $936 million, a conversion rate of 85%, and improvement on a 74% in the prior year. Free cash generation was $672 million. Net debt reduced by around $250 million as the acquisition payments in the year to just under $1.4 billion. This was a closing net-debt-to-EBITDA ratio of 1. I will now look at each of these areas in turns starting with revenue. This slide shows the adjustments between underlying and reported revenue performance in quarter four. The business delivered a strong underlying revenue growth of 5%. There was one additional sales day in Q4 compared with the same period last year, and this will have boosted underlying growth by around 1%. In Established Markets, growth for the quarter was 6%, and this is our strongest Established Market performance since we started reporting the region in 2012 driven by the U.S. with 9% growth. In Emerging Markets, growth was 2% for the quarter, and as Olivier mentioned, in China, we continue to see a significant slowdown in sales. The group overall excluding China grew 7% on an underlying basis in Q4. Next, acquisitions added 2 percentage points to the reported growth rate. This includes the impact of the ZUK knee which we acquired midyear, as well as the impact of our acquisitions in Colombia and Russia. Sales growth in Q4 at constant exchange rates was, therefore, 7%. Currency was adverse by 6% in Q4; and hence, in reported terms, the group revenue growth for the quarter was plus 1%. For the full year, the trends are similar. Underlying revenue growth was 4%. The acquisition impact is also 4% with the majority due ArthroCare in the first half. The full year currency headwind is 8%, in line with our guidance, in the Q3 update, and reported revenue is therefore flat for the full year. Next, the trading income statement. With additional details that are shown in [indiscernible] to our announcement. Our gross margin for the full year was 75.3%, 30 basis points down on the prior year. And on price, we face similar pressures of around minus 1% to 2% overall, and this was offset by cost of goods efficiency program. On currency, we are seeing headwinds as a result of transactional exchange. But in 2015, this was mostly offset by hedging gains. Turning to SG&A. Our selling, general and admin expenses reduced by 80 basis points to 46.8% of sales, largely due to G&A savings. And we will look at the cost initiatives that drove this on the next slide. R&D reduced as a percentage of sales to 4.8% due to the closure of the HP-8O2 program as we've previously announced. And overall, our trading margin for the full year increased 80 basis points, delivering on our commitment of margin improvement. Turning now to look at the trading margin in more depth. You can see that our margins have shown steady improvement in both 2014 and in 2015. And turning to look at the key drivers. Group optimization is ahead of plan with annualized benefits of $100 million. Our target savings remain at least $120 million. Through this program, we have simplified the organization through the rollout of single MD. We've realized benefits and improved the management information through optimizing our functions, and this includes finance, legal, IT, and HR. We delivered good results from our procurement initiatives across the group. And finally, on office locations, we've rationalized our footprint in a number of major markets including Australia, Germany, and in the U.S. Next, in terms of ArthroCare synergies. As you recall, we targeted $85 million of synergies by 2017, of which three-quarters were coming from cost synergies. We're ahead of plan, and we've now achieved most of our targeted cost synergies from ArthroCare. Revenue synergies will continue to be delivered over the coming years. And now turning to the headwinds. Price mix and currency continue to be headwinds as we've previously discussed. And RENASYS similarly continue to be a headwind in 2015 following the distribution hold in the U.S. market. But as we said in our AWM Capital Markets event, the new RENASYS range will be gradually phased in during 2016 but will take time to ramp up. Now a review of the adjusting items between trading profit and the reported IFRS operating profit. Acquisition-related costs of $12 million relate to the remaining ArthroCare integration cost and emerging market deals. Restructuring costs of $65 million relate to the structural efficiency programs. We've now charged just over two-thirds of the cost of the group optimization program with the remainder to come largely in 2016. Amortization of acquisition intangibles of $204 million is higher than last year as a result of the annualization of ArthroCare amortization and some accelerated charges on Oasis due to the reimbursement headwinds that Olivier mentioned. Finally, within legal and other, there is a new charge to highlight of just over $200 million relating to metal-on-metal claims, and I will talk more about this on the next slide. The remaining significant items in legal and other that we discussed at the half year include the income from the Arthrex legal supplements, a one-off curtailment gain on post-retirement healthcare benefits in the U.S. and some additional costs in relation to the RENASYS product hold. After these items, group operating profit for the year was $628 million. During the quarter, we settled the majority of our U.S. metal-on-metal hip claims. Our product liability insurance has covered most of these settlements and the group has paid a net $25 million in cash to the end of January. These claims principally relate to a portfolio of modular metal-on-metal hip products such as the R3 metal liner which is no longer on the market. In addition to these, charges of $21 million were incurred in 2015 for legal fees defending metal-on-metal claims globally. We've taken a charge of $203 million to cover the $25 million net settlement payment plus the present value of cost to resolve all other known and anticipated claims. The charge is based on an actuarial estimate and does not include future insurance receipts or future legal charges in line with accounting standards. In practice, we expect this process to now take a number of years. It is important to note that whilst future insurance receipts cannot be recognized in our accounts, the group carries considerable product liability insurance. Now, a review of EPSA for the year. Trading profit grew 4% reported and 10% at constant currency. Net interest cost in our trading result were $41 million compared with $50 million last year. The tax rate on the trading results for the year was 26.8%. This is a 90-basis point reduction compared to last year, and a reduction of over 300 basis points compared with where we were three years ago. In 2016, we expect the tax rate to be 26.5% or slightly lower in line with our commitment. Taking these factors into account, EPSA for the year was $0.851, a 2% increase on a reported basis, and a 9% increase at constant exchange rates. Now, turning to cash. The trading cash flow for the full year, we generated trading cash of $936 million, a trading profit to cash conversion rate of 85%. The improvement compared to last year includes benefits from reduced outflow of working capital. Regarding trade receivables, our days sales outstanding metric fell from 77 to 74 days. And our inventory turn improved if you exclude the impact of acquisitions, though there remains more to do on inventory. Free cash flow for the year was $672 million compared to $308 million the previous year. And as well as the improvement in trading cash, we had a lower outflow of restructuring and acquisition charges, and we also had the Arthrex settlement. Our tax pay reduced by just over $100 million including some timing differences. Now, turning to capital allocation, we started the year with net debt of $1.6 billion and generated free cash flow of just over $1 billion before capital expenditure. Capital expenditure was $358 million, reflecting the investments in instruments at IT development and manufacturing facilities. Dividends paid were $272 million. For acquisitions, our net cash spend of $71 million includes acquisitions in Colombia, Russia, the purchase of the ZUK Knee and also, investments in associates. Finally, within Other, we include the repurchase of our own shares equivalent to the shares issued under employee share schemes during the year. And we expect the number of shares in issue to be consistent in 2016 with 2015. At the year-end, we closed with net debt of just under $1.4 billion and net debt-to-EBITDA ratio of 1. And finally, not shown on the chart, immediately post the year-end, we completed the acquisition of Blue Belt Technologies, resulting in a cash outflow of $0.3 billion of $1 billion as announced previously. Next, turning to our outlook for 2016. I will cover here the main trading developments, and the technical guidance is attached in the appendix of the presentation. Firstly, regarding revenue. We expect to maintain good underlying revenue growth in 2016 as we delivered in 2015. And to give some detail on translational exchange, if the rates were to continue as they are at the end of January, we would expect this to reduce revenues by approximately 2% to 3% in 2016. Now, regarding the trading margin. We have delivered on our commitments and seen a trading margin improvement over the past two years. Regarding 2016, as you know, the medical device excise tax is being repealed for two years and we have decided to accelerate investments in our quality and regulatory systems, commercial excellence and our health economics, particularly in support of the U.S. market. So, before exchange, our margin in 2016 would have reached or exceeded 24% including the 60-basis-point dilution from Blue Belt Technologies. I want to stress again that we will experience a significant headwind on margin in 2016 due to transactional exchange. We guided this as 100 basis points at Q3, and based on current exchange rates, we've now revised this to 120 basis points due to a further strengthening of the U.S. dollar during the fourth quarter. Hedging contracts that protected the bottom line in 2015 will not provide the same cushion in 2016. Next, regarding EPSA, interest charges allow it to be similar to 2015, while our tax rate will reduce from 26.8% to 26.5% or slightly lower. Next on savings, I would like to highlight that we have an unusual balance of sales days next year with three extra days in Q1, one extra day in Q2, and for fewer days in Q4 compared with 2015. And on profit, similar to recent years, we're expecting lower margin in half one compared to half two as a result of seasonality and the timing of investments. And finally, I would like to reiterate my previous points in the margin outlook. Group optimization benefits are ahead of plan. ArthroCare synergies are almost all achieved, but the margin will be structurally impacted by foreign exchange. And with that, I would like to hand back to Olivier.
A - Olivier Bohuon: Thank you, Julie. So, in conclusion, I think we can say we had a good year and we finished strongly. We delivered higher underlying revenue growth, trading profit and adjusted earning year-on-year. At the heart of these are our innovative products and solution delivered through a more focused organization and continuing improvement in execution. We have continued our disciplined M&A strategy, which in 2015 has further reinforced our portfolio and market position. So, looking ahead, we expect to deliver continued good revenue growth in 2016, as we benefit from our investments in existing businesses, and pioneering technologies. Our medium-term ambition to increasingly outgrow the market in which we operate remains unchanged as we continue our journey to transform Smith & Nephew. So, thank you, and that ends the formal presentation, and we will be happy now to take questions. Thank you.
A - Olivier Bohuon: Yes?
Lisa Clive: Hi. Lisa Clive from Bernstein. Julie, you talked about the cost savings program, which sounds like it's well on track. I believe in the press release that it was at $100 million. Was that the exit rate for the year? And if so, could you give us what the actual underlying full year savings was in 2015. And of the remaining balance to get to that $120 million, how much we should expect in 2016 versus 2017? And also, you seem to imply that it's a minimum of $120 million. So maybe what could be our positive expectations around something greater than that? And likewise, also, on the ArthroCare synergies, it's $85 million in total synergies. I'm a little bit confused about how that's supposed to be split between revenues and cost.
Julie Brown: $65 million in costs and $25 million in revenue. It's $20 million, actually, $20 million and $65 million when we did the deal.
Lisa Clive: Okay. And so just to clarify, if you've actually gotten the full amount of the cost savings at this point. And then lastly, you mentioned the medical device tax reprieve. And clearly, the general consensus from the med tech companies seems to be reinvestment. But the reinvestments that you're specifically doing, how should we think about how that potentially accelerates top-line growth or what are the real benefits from that other than just the reinvestment?
Julie Brown: Okay.
Olivier Bohuon: So, let me just take the last one quickly on medical device then I hand it to Julie . The medical portfolio is one year, two years. We don't exactly know how long it takes - it will last. We have between $20 million and $25 million of medical device tax. The reinvestment that we plan to do is not something which is supposed to be really in the business. What we need to do and what we want to do is we enhance our quality systems in manufacturing. Why? Because we have more and more requirements and regulations [indiscernible] in the U.S. with the FDA. And so, we want to be at the top. So, we want to take this opportunity to put the money here as well as in IT systems. So, that will not go in the business.
Lisa Clive: Okay.
Olivier Bohuon: To support business.
Julie Brown: So, I'll take the group optimization one and the ArthroCare synergies one. So, in terms of group optimization, we've achieved annualized benefit to-date of now $100 million. And the approximate impact in terms of trading in 2017 was $70 million. In terms of the future program, we do expect to achieve more than $120 million, and we would expect it to be more or less phased mostly in 2016 with an element in 2017. So, I mean the bottom line is we've done a huge amount of work in the business. The whole business is being engaged with this, from procurement to single managing directors to functional optimization and also improving much better quality, financial and HR information to the business. So we're really, really pleased as to how it's gone, and like I say, it's ahead of plan, in fact, it's where we expect it to be. In terms of ArthroCare, the revenue synergy is just pretty much the revenues synergies in ArthroCare with $50 million and the drop-through on that was $20 million and the cost synergy is $65 million. We're actually really pleased. We closed the ArthroCare integration office early, so it was going so well. We've had great results in the U.S., and we've seen from the sales result how good that's been. In terms of the cost savings, we do - we've now delivered most of it, so a large part of this is already now being delivered.
Lisa Clive: Okay. And then one last final question for Olivier. On your Trauma business, the zero percent growth and this has been a sort of perpetual challenge...
Olivier Bohuon: Yes.
Lisa Clive: It's the one business that just doesn't seem to be turning around. Clearly, China didn't help. But excluding China, what would that business have grown, and where should we really expect it to grow longer term?
Olivier Bohuon: We don't disclose the terms per geography. But China has been the real slowdown of Trauma. Trauma was not doing badly, actually. It was the - it was okay. But you are right. It has been up and down and sometimes we face some valleys. But that was not a valley this time. It was okay. China was the main issue, and we think this [indiscernible].
Lisa Clive: Okay. Thanks very much.
Olivier Bohuon: Yes? Then, Veronica.
Alex Kleban: Hi, Alex Kleban from Barclays. For my three questions. One, I was going to ask about the portfolio. And if you look across your portfolio and you think about maybe potential product apps? What do you think about upper extremity in terms of shoulder, elbow, wrist replacements and total ankle replacements in lower extremity and potentially investing in that? It seems like - at least upper extremity has good overlap with the Sports Med business, so just wondering your thoughts on that? Secondly, a bit more color on price volume for Healthpoint in Q4, just wondering if you've done some price cuts to generate volume or vice versa. And I guess longer-term question on tax rates. So, we have the 26.5% for this year, but can you give us a sense or trajectory for maybe the next three years in terms of that continuing to decline?
Olivier Bohuon: In what? Sorry?
Alex Kleban: Tax rate.
Olivier Bohuon: For tax rate, okay.
Alex Kleban: That's right. And maybe long or very long term, can we ever think about a sub-20% tax rate like what we see at some of the peers in the med tech division?
Olivier Bohuon: Julie will take your two questions here. On price volume in Healthpoint, which is now not anymore Healthpoint, actually. It's Smith & Nephew Biology. We have mainly volume. We are fine-tuning some prices here and there, but there's no global price increase. So that was mainly volume.
Julie Brown: I'll take the tax rate, and then we'll come back to the extremities question. So, yeah, for the tax rate, again, I think we've done a really good job. We got it down to 26.5% next year, slightly below that. In terms of the onwards projection, we've decided to guide on tax only one year, but we normally would do any one year. And the reason for that is tax is changing so much as I think everybody knows with BEPS, with Base Erosion Profit Shifting and also with country-by-country reporting. We don't want - because the tax legislation is changing so much, we don't want to guide out more than one year. It's interesting you mentioned some of the peers, the U.S. companies in particular and pharma, of course, as well with some low tax rates around 20% or below. I think the difference is with the U.S. peer in particular, they don't record the tax or the deferred tax on their offshore cash. And if you actually adjust for that, if you do a like-for-like comparison between our tax rate now at 26.5%, and theirs, it's actually very similar. If you normalize the U.S. GAAP and IFRS, it's actually very similar. So we're, actually, really pleased with where we've got the company to. It's exactly what we committed to do. And, actually, we've delivered exactly what we committed on. I think those are the main points, I think.
Olivier Bohuon: Yeah. On the upper extremities, Phil, wants absolutely to answer the question there. So, go ahead, Phil.
Phil Cowdy: So, upper extremities, yes, we're interested in that space. Most of our product launches recently had been around hand and wrist, and we showed some at AAOS last year. In terms of the shoulder itself, we have one small product but we're not big in that particular prospect. But, yes, we like extremities.
Olivier Bohuon: We do like extremities. I confirm. Veronica?
Veronika Dubajova: Thank you, Olivier. Thank you very much. Veronica Dubajova from Goldman Sachs. I have questions, three, I'll make them three.
Olivier Bohuon: Three is the maximum.
Veronika Dubajova: Three is the max?
Olivier Bohuon: Yes, three.
Veronika Dubajova: Understood. So, my first question is just conceptually around the operating leverage in your business. Just because if I look at what you reported this year, stripping out currency, you delivered 4% top line and 5% trading profit growth while you were doing quite a lot of work on restructuring. So, I'm trying to understand, once we get through the $120 million and the $85 million from ArthroCare, how are you thinking about underlying leverage in the business? And if you are delivering, let's call it, mid-single-digit growth, what do you think are the opportunities for you to get some operational leverage on top of that? And related to that, I know we - you haven't yet hit the $120 million. But as you look at the cost base now, Julie, that you're mostly through the program. Do you see opportunities for anything beyond that? My second question is just a quick one on price and volume or pricing mix in hips and knees. I don't know if you just called it out in the slide as a regular trend or if there was anything that you saw on the quarter? And my last question is just on Syncera, when we might get an update from you on how that is progressing from a revenue perspective.
Olivier Bohuon: Okay. Let me take the three last questions, and we will go with the operating leverage I think with Julie.
Julie Brown: Okay.
Olivier Bohuon: And Julie, feel free to add also. Can I start?
Julie Brown: You start.
Olivier Bohuon: Ladies first. Go ahead.
Julie Brown: Okay. I'll go ahead. So, in terms of operating leverage, I think if we look at what we've achieved just in the business in terms of underlying cost savings program, we've now delivered in the order of $250 million of savings in structural cost base. What we find out with the business is there is still so many opportunities to invest to drive the growth. As you're seeing, we've taken the sales growth rate from very low-single digit of 2% now to more or less 4% - around 4% mark. So, we still feel there's opportunity for growth, and we have got a mix of margins in our business as well and in particular emerging markets tend to run as a lower margin than the group operates and certainly established markets, we've got lower margin in an established market. So there, what we wanted to do is still invest for growth because we still see significant opportunity in those regions. So, I think, you're right, Veronica, we wouldn't expect the operating leverage. We tend to only get it when you get to the mid-single digit sale growth rate - excuse me, sales growth rate. In terms of further cost base opportunities, when we set about doing re-optimization, we really wanted to tackle when we saw the four major levers of change. So, that was really in the functions. It was procurement. It was also the size, and it was single MD. So, we went from two or three managing directors in a country to one. The new opportunities that we're working on now, I guess, which was part of the program but we're now progressing is what Olivier mentioned, which we're now doing single MD in the U.S. market for the first time. So, we've not done that before. That's a new change this year. And I think we will still have opportunities as we create global business services, and we rationalize some of the activities in the functions. So, we're using outsourcing now a lot in terms of off shoring.
Olivier Bohuon: Yeah.
Julie Brown: Over to you for price.
Olivier Bohuon: Yes. Well, let me come back on the opportunities because I think that it's a good question. And, again, when we started the global automation plan, you remember, I see we focus on four item. It was the functions. The second one was the spend control and the layers. The third one was on the commercial footprint, and the last one very important was procurement. So, we have done a lot on these. For example, you take the commercial footprint. This has not generated yet all the benefits because we have, obviously, a cost linked to the people leaving or not moving and so. So, I think there is still some opportunities there. And we are going to continue to work on this item. I believe Julie mentioned the U.S. single MD, which obviously means also potential saving opportunity here, and mixing two businesses in one business with common functions. There is definitely an opportunity here. We also think about opportunities in refocusing the R&D, putting the R&D as a global entity. We'll certainly also find some benefits here. It's early stage, but we believe there is a certain opportunity. So, all these makes me confident that, yes, we are in the middle of the journey. There is a lot to do. Procurement is not done. We still have a lot of things to do. So, I'm pretty happy to see what we can do in the future. In terms of price, very stable. I mean, we have not seen any changes in the prices in the U.S. and in Europe. I mean, very stable as usual. It's not the - and you see that market growth actually also pretty stable. I remember I was thinking this morning about this when I first came here talking about the recon market in the U.S., I answer your question about would that go back up. It doesn't actually. You've seen the market this year is 2% in recon, so we don't see that. We see us leading this market and winning, so that's for sure. And Sports Medicine, no price erosion. In Wound Management, as usual. In Emerging Markets, some opportunities of price increase. I think that's all.
Julie Brown: Just going back to the price point, and then I think Olivier will want to take Syncera.
Olivier Bohuon: Yes, I would take Syncera.
Julie Brown: In terms of - although it seems that price erosion has not changed, we have got also cost of goods efficiency programs. So, when you're looking at the gross margin full with 30 basis points that I mentioned, largely that's the transactional exchange coming through that's not been offset by hedging this year. So, actually the cost of goods efficiency programs are working, procurements working on direct materials, and lean through the operating facilities, et cetera, is driving cost of goods efficiency.
Olivier Bohuon: Yeah. On Syncera, well, look, I'm not going to tell you many things on Syncera because we plan to do it at Q2 as announced in Q3 last year. Things are doing well, actually. Things are fairly strong in terms of understanding of the value of the proposition, extremely good feedback from customers. The only downside I would say is maybe it's slower than what we are expecting in terms of capturing customers. Why? Because we realized the complexity of changing a model to another one. So, I think this is the only thing which - I can tell. A bit slower than what I expected, but even better in terms of feedback from our customers that we have now in the portfolio. So, I will know more in Q2 and Q3 - sorry, yeah, in Q2 and we'll get back to you more details on this one. In terms of procedures, we are doing well, so we are on track. But again, it takes some more time. Okay. Maybe we can take questions on the phone, two questions by phone.
Operator: Thank you. [Operator Instructions] We will take our first question now from Michael Jüngling from Morgan Stanley. Please go ahead.
Michael Jüngling: Great. Thank you and good morning. I have three questions. Firstly on CJR, going into the event in April, can you sort of comment on what the customers are saying to you? Are they asking for a greater price discounts? Are they asking for better technology? Some commentary around that would be useful. Secondly on China, could you give me please the other constant currency sales gross rates for Q1, Q2, Q3, Q4? And then the final question I have is on the transactional EBIT margin headwind of 120 basis points, can you please provide the major currencies which are driving it? So, for instance, maybe by ranking dollar-ruble, dollar-renminbi, dollar-real. Some guidance on that would be helpful. Thank you.
Olivier Bohuon: Okay, Michael. Thank you for your questions. So, I will take the two first questions on CGR and on China. CGR starts in April as you said, but we have not seen any type of questions regarding price discounts or different technology. We are pretty proactive with these hospitals. And again, I think that our message is the following: We can help you in decreasing your cost. We can help you in having less people coming back to the hospital if we treat well the wound with the portfolio of Smith & Nephew. We can offer a solution which is Syncera also, which is definitely a good way to minimize the cost and have great outcomes. So, that's the message. So, we are proactive. We have not received so far any type of push in terms of, you have to get your prices or you have to do something different. So, that's not yet in the air. Regarding China, while the growth of China, again, we have been affected by Chinese drop slowdown since July roughly and Q4 was, as expected, was pretty slow. We see two things in China - three things. The first one is that it doesn't affect all the products because it mainly affect the stock at the distributor level, inventory. And what is happening is in business like Trauma - the most affected in Trauma, Sports Medicine, and Wound for three different reasons. In Sports Medicine, we have seen a drop of the acquisitions of the capital and that started in July. I mean, the start of this. In Wound Management, we're pretty new in wound management. So, we have a high stock in Wound Management, possibly a negative pressure business. And so, obviously, having a bigger stock means that you have the stock going away from distributors and we don't sell much ex-factory. In Recon, it's a different item, different business because here, it's scheduled surgery. So the stock level in Recon were much lower than in Trauma where you have to have stock for accident and stuff like this. And so, that is the reason why Recon has been okay. And we have been really suffering in Trauma, in Sports Med and Wound Management. So, we expect this to last a little bit but we don't see, on a near-term, long term, any issue. In China, we believe that things will go back on track. There's no reason. There's a need. So, once the inventories back at something which corresponds to in-market demand, we expect to see a start again of the business in China. And again, I want to insist also on something. It's not because China has been slowing this year that the emerging market strategy at Smith & Nephew is wrong. We are strong. We have been able to grow 15%, so China in the emerging markets. So, believe me, we have very strong position in all geographies. When China will be back on track, we'll be here because don't forget that it's just a slowdown of the market. We keep share, and we gain share. So, that's one thing that matters.
Michael Jüngling: Okay. If you look at them, and you think China is slowing, but it - in the fourth quarter, there must be a seriously negative number of minus 20, minus 30 points?
Olivier Bohuon: Yeah. It is a negative number. Again, I mean, the comparison of last year was very high also, and it's truly it's a negative number. But it's - let's see what 2016 will be.
Julie Brown: Okay. I'll take the question on exchange, transactional exchange rate. So, the reason we've got the exposure, Michael, to give you a bit more background to 120 basis points, as we thought, revenues in U.S. dollars about half of our business but the cost of goods, the U.S. dollar is dominant about three quarters of our cost of goods because of where we got the manufacturing facilities, particularly in ASD, which is largely in the U.S. In terms of the sales, therefore, obviously, when the dollar strengthens, the sales effectively weaken relative to the cost of goods. And in terms of - I won't give you a perfect split of the currency, but roughly, we've got emerging market currencies which is about 15% of our sales, as you know, and then clearly, the next biggest currency is the euro. And then the rest of the exposure is really sliced across the pound, the Australian dollar, the Japanese yen, and those are the main other currencies that are in play. So, I hope I gave you enough of the flavor as to why we've got the transactional headwind. As I mentioned as well, before we've got a very comprehensive hedging policy and that really helped us during 2015, so we've been able to caution what happened in exchange rates during the course of 2015. We've been able to caution that with the hedging. Of course, in 2016, most of those hedges are rolling off; and hence, you get the steep drop.
Michael Jüngling: Okay. Olivier, just on China. When you're sort of growing at minus 20%, minus 30% or so in the fourth quarter, how do you know this is market development versus perhaps Smith & Nephew's own underperformance because those growth rates are extraordinarily in the context of the economy that is still showing positive healthcare growth?
Olivier Bohuon: Michael, because we have done some homework on this, believe me, and we know that the end market demand is really dropping. And that's the reason why this is happening. And we know that we are not underperforming in China.
Michael Jüngling: Great. Thank you.
Olivier Bohuon: Another question by phone and then we go back to room.
Operator: Thank you. We now have a question from Julien Dormois from Exane. Please go ahead.
Julien Dormois: Hi. Good morning, Olivier and good morning, Julie.
Olivier Bohuon: Good morning, Julien.
Julien Dormois: I have mainly three questions. The first one regards to bioactives. I was just wondering if you could be - give a bit more details about how you see growth in bioactive in 2016? You had guided for high-single digits in 2015, so should we replicate that for 2016? And what would be the driver behind this renewed good growth you would have in bioactive? The second one relates to wound care. I think you've highlighted that you've seen a sustainable improvement in advanced wound care. Should we consider that the run rate you had in H2 for a mid-single-digit is sustainable into 2016, or it would be more likely the low-singles because the comps will be tougher? And the last question is on BHR, just wondering if you think that 2016 could be the final year where BHR stops dragging, because I think you said there was 1 percentage point of impact in Q4. When will that end?
Olivier Bohuon: Thank you, Julien. Yes. Good question. So, on the bioactive growth, we have a guidance, which is roughly the same than what we said last year, actually. It would be a high-single digit growth for the bioactive driven by SANTYL. We know this will face some [indiscernible] issues into the reimbursement, but it's a guidance which is roughly the same than what we did in 2015 for 2016. So, here no change. In the Advanced Wound Care, yes, you're right. I mean, it was very strong. The growth in the U.S. in Q4 was 27%. So, that shows you how important is the dynamic of the wound care. And an important is what I told you last year, the change of management, the actions we have taken in wound care, refocusing our people on the right products. The changes in the incentive system and so on and forth, so that works. So, yes, we have received a tougher [indiscernible] for the growth. But we expect the growth to hit the market in the 2016 in Advanced Wound Care. That's what I can tell you. Regarding the last question on BHR, who knows? mean, BHR, I've always been in the position to tell you that it was the end. It's never the end. So, it's lower and lower actually. I mean, for us, it's right now 6%, Julie, for this business. Less than 6%...
Julie Brown: 5%.
Olivier Bohuon: ...5% of the hip business, which is minimal in the company, but still, it's 5%. It has a negative impact of 1 point in the growth of the hip business. So, it will be less and less that's what I can tell you. Now, is it the end? I don't know.
Julien Dormois: Okay. Thank you. And maybe just one follow-up if I may on Emerging Markets. I think you indicated 15% underlying growth excluding China. I just want to make sure that's good for Q4 and not for the full year.
Olivier Bohuon: It was for the full year. Yeah. Both - they're the same actually. Both for Q4 and full year, the same.
Julien Dormois: And full year?
Olivier Bohuon: Yes.
Julien Dormois: Okay. Okay. Thank you very much.
Olivier Bohuon: It's very worthwhile because I was asking the same question this morning talking to Julie and Phil. So, that's exactly 15-15.
Julien Dormois: Thank you very much.
Olivier Bohuon: Thank you, Julien. Okay. Back to room. Yes, Tom?
Tom Jones: Thanks for taking my questions. I had two, actually. One is just on what's going on in orthopedics in the U.S. at the moment. To what extent do you think, your hip and knee franchise has benefited from the disruption around this environment measured last year? And now, at J&J, assumingly turning itself and [indiscernible] do you expect there to be some disruption that you could benefit from this year? I was just wondering kind of what you're seeing on the ground in that context. And then the second question is just on FX. And obviously you've protected yourself last year, all those hedges are now rolling off. To what extent have you locked in the 120 basis point headwind this year, or are you kind of now naked as far as FX goes and could potentially benefit should things start to move in your favor?
Olivier Bohuon: You want to take the FX, Julie?
Julie Brown: Yeah. I could take the FX. Yeah. So, most of the 120 would be locked in. I mean, what basically happened is that Q3, I guided to 100 basis points on the gross margin as you know, Tom. And in Q4 there's a further strengthening of the dollar. And so that caused a difference of about 20 basis points. So, you'd expect, because that's essentially the fourth quarter impact where we have not fully hedge out that far, so you've got the fourth quarter coming through in the 2016 results, coming in from 100 to 120. So, most of the 120 will be locked in, but not completely because that final part of 2016 will still be volatile depending on where exchange rates move.
Tom Jones: So, basically, if currencies improved, we're not going to see any benefit until 2017 really?
Julie Brown: You would see some benefit. So, say it moves 45%, you'd expect to see about 20, 20 to 30 basis points through the latter part of 2016. But the early part of 2016 no because of the hedging.
Olivier Bohuon: Regarding your question on Arthro U.S., yes, we're doing very well. But again, it's a mix of things. It's, first of all, the dynamic of the knee which is doing extremely well. And we expect as I said in my presentation to have this continuing for a number of quarters. We extend the range of JOURNEY II, I think will showcase at the [indiscernible] U.S., a new JOURNEY also. I think there is certainly an impact of the interruption of the Zimmer Biomet. There's no doubt, we know that. And we see that every day in the firm. There is also something which seems a [indiscernible] but what is important is the acquisition of ZUK. But again, when you do a uni knee, you have your uni knee, but in case it doesn't work well, in case the patient needs a full knee, you always have a full knee. So, in the past it was the Zimmer uni knee and a Zimmer full knee. When we now start to see all these customers, new customers they have the uni knee, but they do take our LEGION, for example. So, that mean that it has changed also the dynamic of the business in many, many of the customers that we discover now with this opportunity. J&J, your question, yes, obviously when we announced such a plan, there is no doubt that this could disrupt their sales force. And this, again, an opportunity for us to rebound on this opportunity. So, I tell you, I'm extremely confident for 2016 and for - in the recon business in the U.S. But it's not only the product. It's also what Mike has done in the U.S. which is really reorganizing, reshaping, developing the commercial excellence and what we are going to do this year in terms of additional work on sales force excellence and that will certainly be impactful.
Tom Jones: Thanks.
Olivier Bohuon: Yes, Ines?
Ines Silva: Hi. Ines from Bank of America. I have two questions, please. First of all, on PICO, I appreciate it continues to do well in the U.S. Could you give us some color on what's happening in the rest of the world and mainly Europe, about the adaption? And secondly, on China, you have - so you have lower inventory on Recon and that's why you're being less effective on Recons than on Wound in Sports Medicine, if I understood that correctly. How confident are you that the underlying deceleration of the market will not impact you on that business as well during 2016?
Olivier Bohuon: The recon?
Ines Silva: Yes.
Olivier Bohuon: Because people are bigger and bigger and older and older. And so, they need more and more hips and knees, and that's true. So, we see that the volume growth in China is extremely strong in the recon. We believe we have a great portfolio. Because as you know, we have our IT plus the retail product that we manufacture in our factory in Beijing. And again, it's scheduled surgery. So, the reason why you didn't see a big inventory at the distributor level because they know what they need, roughly. But I think that will continue like this. I don't see any reason to see the market in recon going down in China for the moment. And there's no indicator it should. Regarding your other question on PICO, so PICO is doing very well in the U.S. Again, we didn't start well in the U.S. When we launched PICO in 2012, I think when we started to launch PICO, it was slow. And it's really last year actually in 2014 that we have started twisting the strategy of PICO that we have realized that it was important to try to go from a patient bed instrument to a disposable instrument. And so, the strategy has changed. And we have seen the growth accelerating very big time in this. And I think we have the best device, frankly. So, that helps. And you know there's life cycle management of PICO, so we improve PICO basically every year. In Europe, we started pretty strongly, when we launched the product, mainly the Nordics which was a super launch. And now, we see that all the rest of Europe is following what we see in the U.S. So, a big acceleration of PICO. You can see that in France. You can see that in Spain. You see that also in Germany. So, we are very [indiscernible] the dynamic of PICO in Europe as a whole. We have launched PICO in Latin America, in Brazil and in Mexico. I don't think with Colombia yet. But it's doing very well, also. So, good dynamic there. Japan is the driver of the growth of Advanced Wound devices in the country. We are increasing our market share in Japan. We launched PICO. When was it, a year ago, a year-and-a-half ago? Yeah. And it's - we're very pleased with that. So globally, great results. I mean, U.S. starts from a lower base but, I mean, it's doing like this and the rest of the world is doing super well.
Ines Silva: Thank you.
Olivier Bohuon: Thank you. Okay. Done?
Ines Silva: Yeah.
Olivier Bohuon: There's a last one there. Last question. Christoph, you were saved by the gong.
Christoph Gretler: Thanks. I have two questions. The first is just a confirmation of this OASIS charge that is worth about $50 million.
Julie Brown: $40 million.
Christoph Gretler: $40 million?
Julie Brown: Yeah.
Christoph Gretler: And then the second question relates to your trading margin and, I think, you saw now a good uptake over the last two years on an underlying basis. And also, if you look now into 2016, absent these FX effects, is there a need for another restructuring program to come? So, basically, the FX, basically run off going into 2017? Do you think the structure needs to be adjusted at some stage again or...?
Olivier Bohuon: No.
Christoph Gretler: ...or you're basically happy and...
Olivier Bohuon: No. no. we're not going to make any restructuring. I think the last restructuring, actually, finalizing the JOURNEY is the single MD in the U.S. Centralization of the R&D. We do some changes, obviously, in manufacturing. We're also - we think that the manufacturing footprint on a long-term basis but that's different. So there's nothing necessary actually. I think we have now a very strong structure, very efficient, very agile, and with Mike Frazzette as Chief Commercial Officer, it allows to do a lot of things that we could not do when it was in the division because it's too complex to really fit here and there what we wanted to do. So, I think that is for me the right structure that we have corresponding to what we want to do.
Julie Brown: Just to add to that, I mean, given we've now delivered about $0.25 billion in cost savings through the two restructuring programs, I think it's now just going to be about continuous improvement because we've used the major levers that were there available to within the business, but it's all about continuous improvement, continuous procurement savings, continuous functional optimization programs. Global business services, that's really what we're going to do and together with I think the leverage that we talked about with Veronika at the beginning. As we get the natural momentum of the business and the top line moving, that's when you'd expect to see a change through that rather than a formal restructuring program.
Olivier Bohuon: Where is the growth going to come from actually? And Julie has mentioned the margin, which is I know in your heads big time despite the fact that we do what we plan to do every year, we accelerate the margin, underlying group margin is improving big time this year, again big time next year. Forex, who knows? Forex is forex. So, we will see what it is. Again, what we are going to do also and don't forget that is not to be in the chair saying, okay, it is but no, we work. So, we work and trying to improve. So, if we have 120 basis points of bad guy margin, I tell you we're going to work to try to find ways of mitigating a part of this issue. We have done it with Blue Belt actually in the underlying growth as Julie was mentioning which is at or above would like to be a bit confusing, at or above 24%. We by the way, over the targets we all add here. In this target, we absorbed the Blue Belt. So, the only thing which remains a bad guy is really the Forex. And believe me, we're going to work to make this better. We have ways of finding it. Now, on the long-term basis, there is three things that you have to keep in mind. So, A, we worked also on the mix. I think that we tried to work on product bringing us with better gross margin which obviously is important coming from the innovation because we can get price premiums on many products because of the value of what we generate. We also worked a lot in the SG&As, not only in G&As. We have mentioned the G&As on the sales and marketing efficiencies which definitely will change also the way we work and the way we deliver. We work also in the cost of good to improve our gross margin, whether it is what we buy or what we do in terms of manufacturing. So, net-net, we know where we go. And I tell you, we know that we are going to grow in terms of a margin year-after-year on a regular basis, and it was said years ago. And we have been able to do it. And there's no reason why not to think about this for the future.
Julie Brown: And we're also looking at obviously where we can pass on the FX hit especially emerging markets. Europe lesser because of the environment, but in emerging markets, we will look to do so. And we have done in some countries already. But it just takes time to regain that level of transactional exposure. It just takes time. I think in addition we're looking at natural hedging through manufacturing facilities. They were also looking about doing things for a minute, but we're comfortable with this and happy with this because we we're not because we're trying to address it. And our commitment to margin improvement for Smith & Nephew remains.
Olivier Bohuon: And pricing, Mike isn't sure of pricing now. Believe me, it has big pressure. Anyway, so thanks a lot.
Christoph Gretler: Thank you.